Operator: At this time I would like to welcome everyone to the Genuine Parts Company 2008 fourth quarter and year end earnings conference call. (Operator Instructions) I would now like to turn the call over to Ms. Carol Yancey, Senior Vice President of Finance.
Carol Yancey: Good morning and thank you for joining us today for the Genuine Parts Company fourth quarter and year end conference call to discuss our earnings results and our outlook for 2009. Before we begin this morning, please be advised that this call may involve forward-looking statements such as projections of revenue, earnings, capital structure and other financial items, statements on the plans and objectives of the company and its management, statements of future economic performance, and the assumptions underlying these statements regarding the company and its business. The company’s actual results could differ materially from any forward-looking statements due to several important factors described in the company’s latest SEC filings. The company assumes no obligation to update any forward-looking statements made during this call. We will begin this morning with remarks from Tom Gallagher, our Chairman, President and CEO.
Thomas C. Gallagher: I would like to add my welcome to each of you on the call today and to say that we appreciate you taking the time to be with us this morning. As we customarily do, Jerry Nix, our Vice Chairman and Chief Financial Officer, and I will split the duties on this call and once we have concluded our remarks we will look forward to answering any questions that you may have. Now earlier this morning we released our fourth quarter and year end 2008 results and hopefully you have all had an opportunity to review them, but for those who may not have seen the numbers as yet, as quick recap shows that sales for the quarter were $2.52 billion, which was down 4%. Net income was $87.8 million, which was down 30%, and earnings per share were $0.55 this year compared to $0.75 in the fourth quarter of 2008, an EPS decrease of 27%. For the full year sales were $11.015 billion, which was up 2%. Net income was $475.4 million, which was down 6% and earnings per share per share were $2.92 compared to $2.98 last year and that’s down 2%. While pleased that our earnings per share exceeded the range of $2.85 to $2.90 that we can in our January 23rd release, we would also say that we are disappointed with the way that the year turned out. Through September our sales were running up 3%, our net income was up 2%, and EPS was up 6% and our results have been fairly consistent and steady over the first nine months of the year. But then starting in the second half of October we saw a sudden and significant drop off in demand across all four business segments, and as mentioned a moment ago, fourth quarter revenues were down 4%. Currency exchange negatively impacted our fourth quarter results by $63.0 million and the sale of Johnson Industries earlier in the year had an impact of $22.0 million. These two factors accounted for 3% of our decrease but we were still down 1% on a comparative basis. Looking at the individual business segments, Motion Industries, our industrial operation, was running 6.5% ahead through September but then the combination of the overall decline in industrial production in the final quarter, plus the impact of extended holiday shut downs among many of our customers, combined with a deferral of normal holiday maintenance by a number of others, contributed to a flat fourth quarter and we ended the year at plus 5%. Despite the slower growth in the fourth quarter we were pleased with the overall progress made in several key industry groups. Pulp and paper, food products, chemical and petro chemical and iron and steel all grew nicely for the year but these were offset by declines in automotive, lumber and wood products, and other housing-related industries. The 5% increase for the year is a solid performance from our industrial operations, in our opinion, and this follows four consecutive years of nice growth for this team. But with the current slowdown in the manufacturing sector, the next several quarters will prove challenging, however, we feel that the elements of their growth strategy, including product line expansions, increased penetration in targeted industries, and strategic bolt-on acquisitions will position them to emerge from the downturn with an increased share of market. Staying within the Industrial segment, after running 10% ahead through September, EIS, our electrical electronic company, was down 4% in the quarter and they ended the year with a 7% increase. Still a very respectable increase but they encountered similar types of market dynamics in the fourth quarter as our industrial operations. They saw an industry-wide drop off in demand starting in October that deepened as the quarter progressed and they also saw extended plant shut downs during the holiday season. But despite the fourth quarter drop off, we were pleased to see the good progress that EIS made during the year in developing key account business across their customer base as well as establishing a solid presence in an exciting new segment, the solar energy business, which we feel should present some nice opportunities for EIS in the quarters ahead. Moving on to Office Products, S.P. Richards, our office products company, is a business that has encountered sales difficulties pretty much all year long, reflective of an overall industry slowdown that actually began in 2007. We felt that we were starting to see modest signs of the business conditions firming up just a bit in the second and third quarters but then the high level of white collar job reductions in the final months of the year caused Office Products demand to drop off, resulting in a 5% sales decrease in the fourth quarter and we ended the year down 2%. On the positive side, we were pleased to see growth in the independently-owned Office Products reseller customer category. This group was up 2% in the final quarter and they ended the year up 1%. This was offset, however, by a double-digit decrease in the national account customer segment. On the product side our strongest increase came from cleaning and break room category, followed by a modest increase in core office supplies, but then technology products and furniture each had single digit decreases. So overall it was a challenging year in the Office Products industry and with the economy shedding jobs at the rate that it has over the past four months, we expect 2009 to be equally as challenging. But we do feel that the S.P. Richards’ strategy of product line expansions in key categories, private brand initiatives, and enhanced marketing and e-commerce programs will position them and their customers for solid growth once again as their markets start to stabilize. And finally Automotive. Sales for this group were down 6% for the quarter and they were even for the year. Now, our Automotive results were affected by the sale of Johnson Industries in the first quarter of the year. This amounted to a difference of $22.0 million in the fourth quarter and currency exchange also had an impact of $49.0 million. Without the impact of these two factors, our underlying automotive business was down 1% for the quarter and up 2% for the year. We continue to see geographic differences in performance within our automotive operations. The Midwest, Southwest, Mountain, and Northeast portions of the country all performed well in 2008 while the Southeast and certain Western states like California, Arizona, and Nevada had the most challenges. Our commercial business held up better than our cash business for the year, led by positive results in our two primary commercial programs, NAPA auto care and major accounts. For the year our total commercial business was up low single digits while our cash business was down just slightly, pretty much in line with industry trends, we think. In the near term we feel that automotive demand will continue to be dampened by the overall economic conditions. However, the underlying fundamentals for the industry remain longer term positive and as the economy starts to rebound we feel that an upturn in automotive demand will follow. In the meantime, we continue to work on programs like NAPA auto care and major accounts and strategic initiatives like our import parts and heavy-duty truck parts programs, all of which we feel will position our Automotive operations for long-term success. So this is a quick overview of the fourth quarter and full year results and we will have more to say about them in our closing comments and in the Q&A portion of the call. But first, we’ll ask Jerry to take a few minutes to cover the financial results.
Jerry W. Nix: We are first going to review the income statement and segment information and then touch on a few key balance sheet and other financial items. We will be brief and then open the call up to your questions. A view of the income statement shows the following. Total sales for the fourth quarter are down 4% to $2.5 billion, reflecting the rapid decline in demand in all of our businesses late in the year. For the year we finished up 2% at $11.0 billion and this increase represents another record level of sales for GPC. Our consistent and steady record of sales growth is something we strive for but we clearly have our work cut out for us as we move into 2009. Gross profit in the quarter increased 21 basis points to 29.83% to sales compared to 29.62% in the fourth quarter last year. We are pleased to show progress for the quarter in our gross margin, and for the year gross margin held relatively steady with the prior two years at 29.72% to sales. To show progress on this line we continue to focus on several factors, including the impact of product and customer mix as well as our global sourcing initiatives. In addition, we had the benefit of inflationary pricing in 2008, which exceeded any increases we have had as far back as the early 80s. Offsetting the benefits of inflation in our margin initiatives are the competitive pricing pressures associated with lower demand and the difficult economic conditions impacting our markets. For the year, our cumulative pricing which represents the prior increases to us plus 6.0% in Automotive, 7.9% in Industrial, 4.2% in Office Products, and 8.3% in Electrical. Now let’s look at SG&A. For the fourth quarter SG&A as a percent to sales was 23.8% versus 21.88% in the fourth quarter of 2007 and for the full 12 months in 2008 was 22.73%, up 59 basis points from 2007. We can attribute much of the fourth quarter increase to the significant and rapid loss of sales volume and its impact on our ability to leverage expenses. We had felt this to a lesser degree throughout the first nine months of the year. Additionally, in the fourth quarter we had certain expense adjustments that impacted this line. These include items such as the retirement plan evaluation adjustment referenced in our January 23rd release, as well as insurance reserve adjustments, and an increase to our reserve for bad debts. We also earned less interest income in 2008 which impacted this line in the quarter and throughout the year. After we adjust for these items and our loss of expense leverage, SG&A as a percent to sales in the fourth quarter is up approximately 20 basis points from the fourth quarter in 2007, which is in line with where we were through the first nine months of 2008. Given the uncertainty of our sales levels in 2009, we have a great deal of work to do to improve the expense side of our businesses. In 2008 we reduced our workforce by approximately 1,600 employees, or 5% of our headcount. For 2009 we currently have initiatives to further reduce our expenses, including additional reductions associated with personnel costs such as headcount reductions effective in the current quarter of 2009, salaried pay freezes, the deferral of additional stock option grants, travel limitations, and [indistinguishable] time of benefits among others. We also have planned savings in areas such as fleet management and fuel and energy consumption, as well as facility rationalization. Our management teams are very focused on the ongoing assessment of the appropriate cost structure in our businesses and the need for future cost reductions while maintaining our high standards for excellent customer service. Every expense category that we have is under review, no matter how small. For the quarter, the tax rate was approximately 41.6%, which compares to 38.0% of the fourth quarter of 2007. Primarily the fourth quarter rate increase was due to non-deductible expense associated with the retirement plan evaluation adjustment. For the year our tax rate was approximately 38.1% which is up slightly from 38.0% for the full year of 2007. Currently we are expecting the tax rate for 2009 to increase about to 38.5%. This increase is due to higher foreign taxes and the positive tax impact last year from the sale of Johnson Industries. Net income for the quarter, $87.8 million, down 30%. Earnings per share of $0.55 compared to $0.75 last year, down 27%. For the year, net income of $475.0 million is down 6%. EPS of $2.92 compared to $2.98 in 2007, down 2%. As Tom mentioned, we’re disappointed with our performance for the year, and especially our fourth quarter. Now let’s discuss the results by segment. For the fourth quarter Automotive had revenues of $1.194 billion and was down 6%. Operating profit of $67.5 million down 23%, the operating margins were down to 5.7%. Industrial group for the quarter had revenue of $828.4 million and revenue flat for the quarter with operating profit of $71.9 million, down 7% and operating margin still strong but down to 8.7% from 9.3% the prior year. Office Products had $400.3 million in revenue, down 5%, operating profit of $29.4 million, down 22%, our operating margin dropped to 7.3% for the quarter. Electrical had revenue in the quarter of $102.2 million. That was down 4%. Operating profit of $7.5 million was up 5% so nice margin expansions at the close the quarter was 7.4% operating margin there. Now looking at the full year for the segments. Automotive had revenue of $5.3215 billion, up 0.2% representing 48% of the total company revenue with operating profit of $385.4 million, down 7% so their operating margin declined from 7.8% in 2007 to 7.2%. The Industrial group, revenues of $3.5147 billion, up 5% representing 32% of the total. Operating profit of $294.7 million was also up 5% so their margin stayed strong and finished the year at 8.4% of sales. The Office Products group for the full year had revenue of $1.7325 billion, down 2% representing 16% of the total company revenue with operating profits of $144.1 million, down 8%, with their operating margin slipping from 8.9% to 8.3%. The Electrical group had revenue for the full year of $465.9 million, up 7% and representing 4% of the total. Operating profit $36.7 million and was up 21% and their margins expanded nicely from 7.0% to 7.9%. So in summary, operating profit for the fourth quarter fell 16% on a 4% sales decrease, resulting in operating margin of 7.0% for the total company, which is down from 8.0% in the fourth quarter of 2007. For the year our operating profit margin was 7.8%, down slightly from 8.1% in 2007. With steady and consistent gross margins, our decrease in operating margins directly correlates to the increase in our operating costs, which includes the expense adjustments mentioned earlier for the quarter and the year. We are working hard to improve this situation as we go into 2009. We had net interest expense of $8.0 million for the fourth quarter and for the full year our net interest expense was $29.8 million compared to $21.1 million in 2007. This is up from the prior year due to our $10.0 million decrease in interest income in 2008 which resulted from lower rates and less invested cash related to our increase in expenditures for dividends, acquisitions, and share repurchases. We expect our net interest to improve to approximately $26.0 million to $28.0 million in 2009 due to favorable interest terms on a portion of our long-term debt. Other categories, which includes corporate expense, amortization of intangibles and minority interest were $18.1 million in the fourth quarter, $62.5 million for the year. This fourth quarter increase from 2007 was mainly due to an $11.0 million retirement plan valuation adjustment. In addition, our amortization of intangibles was slightly higher throughout 2008 due to the acquisitions. Looking ahead, we currently project the total other category to be in the $50.0 million to $60.0 million for 2009. Now let’s touch base on a few key balance sheet items. Cash at December 31, 2008, was $68.0 million, down $164.0 million from December 31, 2007. Our lower cash balance relative to 2007 was mainly due to the increased expenditures in 2008 for acquisitions, share repurchases, and dividends, as mentioned earlier, as well as our decrease in net income. We expect our cash position to remain sound in the year ahead but also look for our cash balances to vary, based on investment opportunities that may arise in the year, such as acquisitions and share repurchases. Accounts receivable increased 1% from last year, including acquisitions on a 2% increase in revenue for the year. We continue to feel good about the quality of our receivables but in this environment know that we must be especially diligent in monitoring the financial condition of our customers and their ability to pay. For 2009 our goal at GPC remains to grow receivables at a rate less than sales growth. Inventory at December 31, 2008, was $2.3 billion, down 1% from last year, which includes acquisitions. We have shown steady improvement on our inventory levels for several consecutive years now and will continue to manage this key investment and show more progress in the year ahead. Accounts payable also showed improvement again in 2008, increasing 2% from last year to $1.0 billion. Improved payment terms with certain suppliers and the expansion of our procurement card program have driven the increase on this line. We should see additional progress here in 2009 as well. Working capital was $2.6 billion at December 31, 2008, up approximately 3% from December 31, 2007. We added this account for the reclassification of $250.0 million in debt from current liabilities in 2007 to long-term debt in 2008. For the year we maintain our working capital as a percentage of sales, a working capital efficiency at $0.23 on the sales dollar, which was even with last year and has improved from $0.25 in 2006. We are pleased with our progress in managing working capital and would also emphasize that our balance sheet remains in excellent financial condition. Now before moving away from the balance sheet we thought it would be helpful to discuss the accounting for our pension plan in 2008, which has affected several of our balance sheet categories at December 31, 2008, and will have further implication in future years. In accordance with FAS 158, which requires a recognition of the over- or under-funded status of pension and other retirement benefit plans on the balance sheet, we increased our pension liability of December 31, 2008, which had the effect of increasing our deferred tax asset and decreasing other assets and shareholder’s equity. As you may know, we implemented a soft freeze to the pension plan effective January 1, 2009, and we feel this action should serve to minimize the volatility in our accounting for the funding requirements and costs associated with this plan going forward. We would say here that the future state of the markets and pension assumptions, such as the discount rate, will likely dictate the timing of any savings from this soft freeze of the plan. Continued to generate solid cash flows and in 2008 cash from operations was approximately $530.0 million for the year and after deducting capital expenditures and dividends, free cash flow was $173.0 million for 2008. We are pleased with the strength of our cash flows in 2008 and also feel good about how we used our cash during the year. As we transition to 2009 our priority for cash remains. First and foremost the dividend, which we have paid every year since going public in 1948, and as you may know from our January 23rd announcement, the Board approved a 3% increase in the annual dividend for 2009 to $1.60 a share. 2009 dividend represents 55% of our 2008 earnings and marks the 53rd consecutive year of increased dividends paid to shareholders. The current yield on our dividend is approximately 5%. Other priorities for cash include the ongoing reinvestment in each of the businesses, share repurchase, and where appropriate, strategic tasks of acquisitions in each of our business segments. Opportunistic share repurchases remain a high priority for us and as part of our repurchase program we have purchased approximately 6.8 million shares of our company stock during 2008. On November 17, 2008, the Board authorized a repurchase of an additional 15.0 million shares and combined with the 3.5 million shares remaining under the 2006 authorization, we currently have approximately 18.5 million shares authorized for repurchase. We have no set pattern for these repurchases but we will remain active in the program as we continue to believe an investment in GPC stock, along with the dividend, provides the best return to our shareholders. As we mentioned, strategic acquisitions continue to be an important use of cash and are integral to our growth plans for the company. In 2008 we closed on a total of 11 acquisitions and these include at least one in each of our business segments. We are pleased with the acquisition opportunities that have presented themselves this year and we remain disciplined in our approach to this growth strategy. We believe we have added quality companies to our operations, which we expect to be accretive to our returns. For the fourth quarter and the year acquisitions contributed approximate 2.5% and 1.5% to total sales respectively, although these revenues were partially offset by the sale of Johnson Industries. These new businesses are important to us, we look forward to more success with this element of our growth strategy. We plan to follow a similar pattern of strategic acquisitions in our various segments. Capital expenditures were $45.0 million for the fourth quarter, up from $31.9 million in the fourth quarter last year. For the full year capex of $105.0 million was down from $115.6 million in 2007. Looking to 2009 we should see our capex spending at approximately $75.0 million as we are moving slowly to start any new projects in the near term but we will continue to make the necessary reinvestment in our businesses. Capex investments will primarily be made in productivity enhancement projects. Depreciation and amortization was $22.2 million in the quarter, $88.7 million for the year, up slightly from 2007. We expect D&A to be in the range of $85.0 million to $95.0 million in 2009, relatively steady with 2008. We feel positive about our priorities for cash as we move into 2009. We continue to believe that the use of cash in these areas serves to maximize the total return to shareholders. Total debt remained unchanged at $500.0 million, although the $250.0 million in current debt in 2007, which expired November 2008, was renewed on favorable terms another five years and reclassified to long-term debt during the fourth quarter. Our $500.0 million in long-term at December 31, 2008, now includes $250.0 million which matures in November 2011 and $250.0 million due in 2013. Total debt to total capitalization December 31, 2008, was 17.7% and we are comfortable with that capital structure at this time. We would point out that although the debt remains the same our debt ratio was up from last year and this relates to our year-end pension accounting which reduced equity, as mentioned earlier. The company is stable, our balance sheet is strong and we believe this will allow us to weather the current economic climate in fine fashion. We closed the year in 2008 facing extremely difficult economic conditions and it would appear that these conditions will continue for some time. And when we turn our attention to 2009 we will remain focused on the proper execution of our short- and long-term growth plans and believe this approach will help us perform through this cycle. We are confident in the positive fundamentals of our businesses and we believe we will be a stronger company when the economy begins to turn as long as we remain focused on those areas that we have control over. We are making appropriate adjustments to our cost structure and we stay diligent on expense controls as well as asset management, regardless of what happens with the economy. We expect to show progress in these areas but as you know, the degree of improvement is more difficult to forecast in a volatile economic climate such as today. We will continue to support our initiatives with a strong and healthy balance sheet and sound cash flows, further maximizing our return to shareholders. We continue to think positive about our businesses, their strategic plans, and their prospects for long-term growth. We are proud of our dedicated employees and their efforts and this is especially true in these uncertain times. We are very appreciative of their efforts in making Genuine Parts Company the great company that we believe it to be and we know we have the right people in place to make it an even better company in the years ahead. Tom, I will turn it back to you.
Thomas C. Gallagher: Well, that recaps our fourth quarter and full year results and 2008 certainly proved to be an interesting and challenging year for us. We felt that we were holding up reasonably well through the first nine months but then the pace and the depth of the economic decline in the fourth quarter impacted all four of our businesses, and this has continued in the early days of 2009 as well. As you might expect, our Industrial and Electrical businesses are having the most difficult time right now, running double-digit decreases for the first six weeks of the year. Office Products is about where they were in the fourth quarter and Automotive is showing just slight improvement. So overall, we continue to feel the effects of the economic slowdown and providing guidance for 2009 is extraordinarily difficult right now. So much depends on what happens in the economy and how this will affect our revenues for the year. Our feeling right now is that 2009 will be another challenging year, with the first two quarters being the most difficult. Looking at the first quarter, we have already given you a sense of our sales results through the first six weeks. Additionally, we have one less sales day in the quarter this year compared to last and we also continue to face an unfavorable exchange rate adjustment. The net result is that we think that revenues for the quarter will be down 6% to 10% and with revenue at this level our expectation if for earnings per share to be in the $0.45 to $0.60 range compared to $0.75 last year. For the full year, at this point in time, we would say a revenue expectation of down 5% to down 8% and an EPS expectation of $2.25 to $2.75 would be appropriate. Now, we recognize that the EPS range of $2.25 to $2.75 is quite broad but until we get a sense for how the economy is going to react in the months ahead, it’s hard for us to be any more precise but we would hope to be able to narrow the guidance some as we get a little further into the year. In the meantime, while we can’t control the economic conditions impacting our company, nor predict the length of the current cycle, we can control how we run the business. And in the near term the focus of the entire GPC management team is on maximizing our revenue opportunities while at the same time driving our cost reduction and asset management initiatives throughout each of our business segments. At this point we would like to address any question you may have.
Operator: (Operator Instructions) Your first question comes from John Murphy – BAS-ML.
John Murphy – BAS-ML: [break in audio] . . . we’re looking at as a big guidance range for the revenue decline, which makes a lot of sense and you have given us a pretty big, wide range on the earnings per share expectations that you have for 2009. If you could just highlight the major levers that you may be able to pull, in addition to what you’re doing already, if sales really are coming in at the lower end of the range.
Thomas C. Gallagher: We may have missed the first part of your question, but when you refer to the levers, are you talking about expense levers or revenue levers?
John Murphy – BAS-ML: I apologize. I said in light of the big range on revenue, which I understand, I mean, it makes sense right now, and the big range that we see on EPS, if we were down 8% on revenue, what would be the incremental levers that you would be pulling to cut costs, above and beyond what you’re doing right now? Or is it just intensifying the efforts?
Thomas C. Gallagher: Well, the major things that we are looking at right now obviously would be the headcount. Jerry mentioned we were down 5% in headcount for 2008. We were down an additional 2% in January and will continue to monitor that as we work our way through the quarter. We are also looking at, and have embarked upon, some facility rationalizations and consolidations and those steps are underway. We have looked at things like outbound transportation, route optimization, which we feel has some potential for us as we dig deeper into this. And we have got a number of initiatives that are either underway or are about to be underway to help bring the cost structure down.
John Murphy – BAS-ML: If we just think about, there in the decline we say towards the end, or in the second half of the quarter, which was pretty severe across the board, was there anything that you could tell whether you were gaining or losing market share in your segments?
Thomas C. Gallagher: No, I wouldn’t say that. I think at this point our sense is that we performed at the market perhaps in Automotive and in Office Products. We may have gained just a little bit of share in Industrial and Electrical. But I think the market just really started to drop pretty dramatically as the quarter progressed.
John Murphy – BAS-ML: On acquisitions as we go through 2009, is there the chance that you might be able to conquest business from some of these weaker players, or these players that you might have acquired in the past and back fill your distribution centers, or would there be the need to make these smaller bolt-on acquisitions as we go through 2009, to gain some share maybe?
Thomas C. Gallagher: Well, we think both of the scenarios that you described are possible and maybe probable, as we work our way into the year. we do think that we will be able to take advantage of some underlying weakness in perhaps some of the competition in the months ahead and one of the strategies we have is to build our cash position and if it means that we can do it through acquisition we will be in a cash position to do that. If not, we are in a position to continue to invest in some of the sales and marketing initiatives that we’ve got underway.
Jerry W. Nix: I might point out, we remain a very disciplined buyer, particularly in this market and as you can imagine, we have seen evaluations of some of the targeted companies come down and we may see further decline in some of those valuations. But that’s what we’re looking at.
John Murphy – BAS-ML: Just one point of clarification. You were saying that you saw a slight improvement in Auto through the beginning of this year.
Thomas C. Gallagher: The operative word is slight. We did see it improve a bit through the first six weeks. Not enough to say that with confidence that we may have hit the bottom. But just a bit of improvement, and hopefully that is where we will stabilize and start to come back from.
Operator: Your next question comes from Matthew Fassler – Goldman Sachs.
Matthew Fassler – Goldman Sachs: First of all, you said that Automotive, ex currency and Johnson Industries, I think you said was down 1% this quarter?
Thomas C. Gallagher: 1% for the quarter, up 2% for the year.
Matthew Fassler – Goldman Sachs: So third quarter was also up, too, roughly?
Thomas C. Gallagher: I believe that’s right.
Matthew Fassler – Goldman Sachs: And kind of related to that, what are you seeing in terms of store count, company-owned and also network-wide, and what is the financial status, so far as you could tell, of the jobbers in the network?
Thomas C. Gallagher: As far as the store count in total, we basically had a flat year. We were up 9 on a net new-store basis. We opened a number of stores but we also closed or consolidated a number. I would say that as far as the financial health of our customers, as a general rule, these are pretty well capitalized businesses, and you know, we do have arrangements with our lenders for programs to keep them financial healthy. We are working very closely with them to keep them in that shape. But as far as expectations for this year, I would say that our store count will perhaps increase modestly but now as much as we would have hoped in more normal times.
Matthew Fassler – Goldman Sachs: My second question relates to currency, broadly speaking. You quantified it at roughly $63.0 million for the quarter. I might have missed what the impact was for the year, and as you discuss that can you just talk about the country mix so that we can forecast that appropriately?
Thomas C. Gallagher: Sure. The impact for the year was fairly modest. It was very slightly negative but the dollar strengthened, you know, as the year progressed so we wound up getting more of an impact over the latter part of the year. The way our business breaks down is that we’re roughly 90% U.S., 9% Canadian, 1% Mexico.
Matthew Fassler – Goldman Sachs: So it’s primarily Canada. And is that Canadian exposure essentially even through your businesses or is it disproportionately allocated to one or two divisions?
Thomas C. Gallagher: It’s Automotive primarily, although we do have some in Industrial as well.
Matthew Fassler – Goldman Sachs: So is Automotive a double-digit Canadian percentage?
Thomas C. Gallagher: No. It would be, let’s see, I’m working it in my mind, but no, it would be about 12%. I think you’re about right.
Matthew Fassler – Goldman Sachs: The receivables number did move a little opposite the direction of sales and Jerry, you made some allusion to this earlier on and you also spoke briefly about the allowance for doubtful accounts. Can you talk about the aging? Can you talk about where the receivables are, where they reside? And I guess more importantly than the dollars, what is the source of the slower payment from your customers? Does it differ by division or by customer type?
Jerry W. Nix: Our bad debt expense was up $10.0 million in the year. And our aging has not really changed much. We saw a slight change in January of about 1%. But obviously the piece of the business that we’re the most concerned about would be in our Industrial and Electrical businesses because the manufacturing sector is the most hard-hit and that’s where you more than likely are going to see bankruptcies. We are in pretty good shape as far the receivables within the Automotive side and the Office Product side. Of course, you know our exposure there to the independent network is about 75% or so and we have to stay close to that as well as the mega channels that represent that other 23%, 24%.
Operator: Your next question comes from Analyst for Anthony Cristello- BB&T Capital Markets.
Analyst for Anthony Cristello- BB&T Capital Markets: Looking at the Automotive segment, the 1% decline in the fourth quarter seems to be a fairly significant departure from what you saw in the third quarter on a continuing ops basis. From a macro perspective it would seem that the environment didn’t really materially deteriorate and gas prices certainly were at much lower levels. Could you provide a little more color on what you see as the underlying drivers behind the softness in Q4 Automotive sales?
Thomas C. Gallagher: First of all, in terms of the gasoline pricing, through November gasoline pricing was still a little bit higher than it had been same month prior year. We did see moderation from the peaks earlier in the year but it was still month-over-month higher. If you look at things like retail sales, consumer spending, you will see that they seem to decline at a faster rate as the quarter progresses than they had earlier in the year. That has an effect on our business as well. I think retail sales were actually down 7% in December and were down modestly for the whole year, but the biggest decrease came in the fourth quarter. Then the overall decline in GDP had an effect on our business as well. But the biggest part is consumer spending and the concern the consumer has on how they’re going to meet their budgets.
Jerry W. Nix: I might also point out the decline in gasoline prices did not correlate to an increase in miles driven. Miles driven continued to go down. The money that they would have been putting into the pump has gone to paying off credit card debt or whatever. Miles driven continued to be down and actually the decrease in miles driven accelerated some. So the fact that gasoline price was down didn’t correlate.
Thomas C. Gallagher: I think Jerry makes a great point. If we look at what happened with miles driven, by our calculations they were down 1.8% in the first quarter, were down 2.6% in the second quarter, 3.4% in the third quarter, and they are going to be down over 4% in the fourth quarter.
Analyst for Anthony Cristello- BB&T Capital Markets: Do you happen to have the commercial versus the retail or cash sales number for the fourth quarter specifically, and then the slight improvement seen in Automotive sales to date in 2009, have you seen any material shift or change, either comparing the commercial segment to retail, or even just on a regional basis?
Thomas C. Gallagher: What we said was that for year our commercial business was up low single digit and our cash business was down just a bit. Those same patterns extended through the fourth quarter, with commercial being up just slightly and cash being down a bit more than the full year. And we don’t see any significant change in the patterns for the first six weeks of the year.
Analyst for Anthony Cristello- BB&T Capital Markets: In terms of guidance for 2009, is the assumption that economic and market conditions remain relatively consistent with current levels? And also, what are your expectations for full year 2009 revenues on a segment basis?
Thomas C. Gallagher: We don’t have the numbers for you today on a segment basis but as far as the economy, it’s our expectation it may get a little bit more difficult before it gets better but we are counting on conditions being about the same through year end.
Operator: Your next question comes from Analyst for Gregory Melich - Morgan Stanley.
Analyst for Gregory Melich - Morgan Stanley: On future pricing, as we look in prices into you from your vendors have sort of been at record levels, especially through Q4. Are you seeing any moderation with respect to prices in, at least, as we head into Q1 and do you have any different outlook there, for the near term at least?
Thomas C. Gallagher: Right now we do see evidence that pricing will not be nearly as significant in 2009 as it was in 2008. Our expectation, and we don’t have firm guidance from our vendors at this point, but our expectation is that pricing will moderate, probably be positive for the year, but nowhere near what we saw in 2008.
Analyst for Anthony Cristello- BB&T Capital Markets: As a follow-up to the independent jobber points that have been raised before, is there anything there that you can mention with respect to inventory levels at the jobbers? Do you feel that they are at capital-constrained, or have they really, as you mentioned, been able to access capital freely through third-party vendors and so forth so that’s not really an issue with inventories.
Thomas C. Gallagher: No, I don’t think that’s an issue for the NAPA jobbers. As I mentioned, we have lending and credit arrangements through our banking relationships and they have money to lend and they are lending money. So that’s a strength for us right now perhaps, but the jobbers that are in an expansive mood are able to access capital and go ahead and do what they need to do.
Jerry W. Nix: It also serves no purpose for us to load these independent NAPA jobbers up with inventory. We need them to get a good return on their investment and we need them to be successful, therefore we will be. So we’re not looking to load them up with inventory. We think they have adequate inventories.
Analyst for Anthony Cristello- BB&T Capital Markets: And with respect to some of the work you have been doing on cost management, it’s traditionally been a very strong area for you, as we look ahead here, I have this year’s SG&A dollar growth up above 4% and that might be a little bit over if we were to deduct some of the one-time things, but as we look ahead for next year, after some of these moves you’ve made, is there any way to think about that in terms of either SG&A dollar growth rate or in terms of let’s say, 1% of sales is equal to 25 basis points or 30 basis points of EBIT margin impact, almost equal?
Thomas C. Gallagher: The initiatives that we have identified on the call this morning, we would say have an annual estimate of savings of $50.0 million to $60.0 million. We have got other things we’re looking at and will continue to enact what need by done on the cost side. I would say that the $50.0 million to $60.0 million will feed into the income statement on a sequential basis as we continue to work our way through the year.
Operator: Your next question comes from [Brian Sundheimer – Govilia Company].
[Brian Sundheimer – Govilia Company]: I was curious if you could speak to on the Automotive side, any decline over the course of the quarter in a move towards lower priced parts from the independent repair shops?
Thomas C. Gallagher: That’s a trend that we’ve seen really all year long. If we look at the outbound sales pattern of our product categories, we have two levels of product and the lower-priced SKU movement is stronger than the higher-priced SKU movement. So that’s not anything that has changed materially from quarter to quarter; it’s been fairly consistent all year long.
[Brian Sundheimer – Govilia Company]: On the Office side, I was curious if you were seeing something along the same lines as there are fewer while collar jobs and companies are naturally ordering less product. Are they moving down in product mix as well? Moving toward obviously lesser priced and for you, lower margin product?
Thomas C. Gallagher: Lower margin in terms of dollars, not necessarily in terms of percentage. But yes, that pattern is similar in the Office Products industry.
[Brian Sundheimer – Govilia Company]: Any increase in cadence in that?
Thomas C. Gallagher: No, again, fairly consistent throughout the year.
Operator: Your next question comes from Alan Zeigler - First Manhattan.
Alan Zeigler - First Manhattan: If we went to the Office Product area, and you mentioned earlier that 75% of your sales are to independents to balance to the big-box guys, just strategically, if we take the 10,000-mile look, is there any reason why that mix shouldn’t change over the next couple of years. I mean, just in terms of how the world is evolving, and do you have any strategies in place to make that mix change, given where we’re at?
Thomas C. Gallagher: I think as we look at the mix we’re comfortable with it and I would say that somewhere between 75% and 80% of the business with the independent reseller and 20% to 25% with the big-box is probably where it will shake out over time.
Alan Zeigler - First Manhattan: And why wouldn’t you do more to the big-box given that it would seem that the independent guys would be shrinking. I’m assuming; maybe it’s not a correct statement but it would seem like they would be shrinking and the bigger guys, at least Staples for example, might be growing.
Thomas C. Gallagher: I think the fact of the matter is the independents are not contracting currently. I think that they are holding up reasonably well in the current environment. I mentioned that our business with them was actually up 2% in the quarter and 1% for the year. And for the last couple of years our growth on the independent side has been a little stronger than our growth on the mega side. We don’t have any strategy that says there’s a limitation to how much business we want to do with the larger companies and we continue to work with them. We currently do business with all of them and will continue to look for ways to grow that business with them But their primary focus is really on their own internal distribution and the wholesaler is a fill in supplier to them on their needs, on a more urgent basis.
Operator: Your next question is a follow-up from Matthew Fassler – Goldman Sachs.
Matthew Fassler – Goldman Sachs: On the Office Products business, you talked about the local guys actually still being flat to up 3 this quarter. Understanding that their businesses are somewhat different than the megas, they still are dealing with the same economy and the office products business, broadly speaking, has typically moved with GDP. So how much longer do you that this customer group can defy the bigger-picture macro trends, and might there be something different about the way they’re using you, perhaps taking in more inventory from you rather than buying direct or maybe just buying in more as opposed to sell through? Because there’s something about that disconnect that doesn’t quite compute.
Thomas C. Gallagher: The independent for the most part is not inventory intensive. Most of the independents will buy a small portion of their overall needs on a direct basis and mostly the highly priced sensitive items and the remainder they will rely on a wholesaler. Some of our fastest growing independent customers are actually stockless. They don’t have inventory. They rely on their expertise, which is sales and marketing, and rely on us to do the fulfillment for them. So I think that they, too, are affected by the slowdown in the economy, there’s no question about that. They’re not as impacted as the negatives in certain customer categories because they’re not the ones that deal with the large firms that have had the most massive contraction in office workers. They’re not immune to it by any stretch but they’re not as exposed to it either. So I would say that our expectation for our independent business going forward is that we will get modest growth in 2009 but growth all the same, because of some of the initiatives they’ve got underway.
Matthew Fassler – Goldman Sachs: Is it possible that their customers think smaller and less sophisticated or less disciplined about their purchases and I’m wondering if in prior periods they slowed later, perhaps later than the megas, or did you not see that?
Thomas C. Gallagher: I think we might have seen the reverse. And I’m not speaking with a great sense of recollection, honestly, but I think that in some prior cycles we actually saw the independents contract more than we saw the megas. And I think this one is just a little bit different.
Matthew Fassler – Goldman Sachs: Jerry, can you just once again state what the pricing number was for the Automotive business?
Jerry W. Nix: For Automotive, 6.0%.
Operator: Your final question comes from Stephen Chick- Friedman Billings Ramsey.
Stephen Chick- Friedman Billings Ramsey: In the NAPA sales trends for the fourth quarter, if we adjust for Johnsons and the FX rate, you’re down about 1% on an ongoing basis. And I have that you had incrementally a slightly higher level of acquisitions in the quarter than the past. And it looks like things were still, albeit lower levels of inflation, still helpful maybe in nominal terms. So it kind of looks like it’s about a 300 basis point down tick in the sales of that business. And I know we haven’t heard from others in the industry yet, but we’re slated to this week. But the commentary out of others seemed a little more favorable in terms of their trends, at least in the last public discussion out of them, which was October and maybe even a little bit into November. So I was wondering if you could speak to that? Are you seeing anything competitively with your stores or are we just simply going to be surprised and when these others report in the next couple of days, I guess you would expect them to see the same type of sales trend deceleration.
Thomas C. Gallagher: Well, I can’t tell you what to expect when others report. You mentioned you think we were off 300 basis points in the quarter. I’m not sure how you got there.
Stephen Chick- Friedman Billings Ramsey: Last quarter your ongoing Automotive operations sales, you reported up 3%.
Thomas C. Gallagher: Are you talking sequential?
Stephen Chick- Friedman Billings Ramsey: Yes.
Thomas C. Gallagher: Okay, I misunderstood what you were saying. We saw a slowdown in the quarter. And we have acknowledged that. And we saw it across all of the businesses, not just Automotive, and we think that the fourth quarter was a very, very challenging quarter for most businesses. I think what we are seeing from others that are reporting currently is that the weakest quarter of the year for them was also the fourth quarter because of the overall slowdown.
Stephen Chick- Friedman Billings Ramsey: I understand that and I guess it’s tough because we haven’t seen some of your direct competitors in that business, but it seems like the commentary out of them was, or has been, a little more favorable than the slowdown you’ve seen.
Thomas C. Gallagher: Maybe what we ought to do is wait until we get the reported numbers and then we can have another conversation about it. It’s hard to speculate on what others might or might now be doing. I don’t know.
Stephen Chick- Friedman Billings Ramsey: Do I have the acquisition number right here? What is the sales volume that you acquisition within Automotive during the quarter. I have it as roughly $16.0 million.
Jerry W. Nix: We don’t give that information out. We don’t give it out by business segment.
Thomas C. Gallagher: What we can tell you is that we gave up $22.0 million on the Johnson sale.
Stephen Chick- Friedman Billings Ramsey: When you say that Industrial or motions is currently in the first six weeks running, I think you said double-digit down, is that on a reported basis? Because I know you have some acquisitions within that segment. Is that reported or is that organic?
Thomas C. Gallagher: That’s reported.
Stephen Chick- Friedman Billings Ramsey: And when you say double digits, I think about that as being down 10%.
Thomas C. Gallagher: No, I would say you should be looking more in the mid teens to high teen range.
Stephen Chick- Friedman Billings Ramsey: And that’s reported so organically if we try and strip out our estimates for acquisitions, it will be a little more than that?
Thomas C. Gallagher: It would be. That’s right.
Stephen Chick- Friedman Billings Ramsey: Jerry, you mentioned some of the line items within your net corporate account, in the P&L. You reported $18.0 million in that line item today. The $0.07 per share post-retirement charge, I’m assuming that’s all in net other.
Jerry W. Nix: That’s correct.
Stephen Chick- Friedman Billings Ramsey: Now I have that pre-tax that would be roughly $18.0 million then and so if I . . .
Jerry W. Nix: That’s not just pre-tax. It’s after tax, that’s not tax deductible.
Stephen Chick- Friedman Billings Ramsey: So it’s $11.0 million then?
Jerry W. Nix: [inaudible]
Stephen Chick- Friedman Billings Ramsey: So if I exclude that then the corporate other account still looks a little lower. If it’s $18.0 million less $11.0 million, you’re looking at something like about $7.0 million . . .
Jerry W. Nix: We had an additional $4.0 million in bad debt expense, we have insurance reserves, and we also had less interest income of about $3.0 million, as we mentioned.
Stephen Chick- Friedman Billings Ramsey: In your cash flow statement, there’s two things, I wondered if you knew off the top of your head. One is in your financing activity, you have a $52.0 million benefit to your cash flows, looks like for the year, and I’m assuming that’s all in the fourth quarter.
Jerry W. Nix: I don’t know what that is, but you’re right, that is correct. Sid will have to get that for you.
Operator: There are no further questions in the queue.
Jerry W. Nix: We do appreciate all of you on the call continuing to show interest and support of Genuine Parts Company. We look forward to talking to you in the future with better results and under more pleasant circumstances.
Operator: This concludes today’s conference call.